Operator: Good day, everyone, and welcome to the FormFactor Incorporated first quarter financial results conference call. As a reminder, this call is being recorded. At this time, I would like to introduce Mike Magaro, Vice President Investor Relations. Please go ahead, sir.
Mike Magaro: Thank you. Good afternoon. Thank you for joining FormFactor's first quarter 2008 Earnings Call. With me on today's call are Igor Khandros, Chief Executive Officer, Mario Ruscev, President, and Jean Vernet, Chief Financial Officer. Mario will provide a summary of our first quarter performance, review our market segments, and provide an update on outlook and long-term strategy. Jean will then take us through the financials and provide guidance. Finally, before I hand the call over to Mario, I will review our Safe Harbor statement. During the course of this conference call, we will make forward-looking statements within the meaning of the Federal Securities Laws, including statements regarding the markets in which we compete, our new product execution, demand for our products, our financial performance and our strategic and operational plans. These statements are based on current information and expectations that are inherently subject to change and involve risks and uncertainties. Actual events or results may differ materially and adversely to those in our forward-looking statements due to various factors, including but not limited to continuing challenges and deterioration in the markets in which we compete, including DRAM; the Company's ability to introduce to the market on a timely basis innovative testing technologies; to realize cost reduction and manufacturing efficiency in connection with its Harmony architecture product line; and to deliver and qualify new products and meet its customers testing requirements on a timely and efficient basis; the demand for certain semiconductor devices; the rate at which customers adopt the Company's newly released products, implement manufacturing capability changes, make transitions to smaller nanometer technology nodes, and implement tooling cycles; the Company's ability to implement and execute measures for enabling efficiencies and supporting growth in its design, applications and other operational activities, including execution of its cost-reduction plan; and the Company's ability to obtain cost advantages as its operations become more global. The company assumes no obligation to update the information in this presentation, to revise any forward-looking statements, or to update the reasons actual results could differ materially from those anticipated in our forward-looking statements. Please refer to the company's recent filings on Form 10-K for fiscal 2007 and subsequent SEC filings for additional information regarding the relevant risks and uncertainties. Finally, a breakdown of revenues by market and geography, and the schedule reconciling our GAAP and certain non-GAAP financial information and guidance is available on our website. I would now turn the call over to Mario.
Mario Ruscev: Hello, everyone, and thank you for joining us. The environment continued to be challenging for FormFactor. Since we last reported earnings in February, we have seen market condition worsen for our customers, particularly in the memory segment. The first quarter proved to be one of our most challenging quarters with revenue decreasing 45% sequentially to $65.7 million. Profitability suffered as our fixed costs combined with lower than expected revenue led to wider losses than anticipated. As we announced in our April 8th release, we have implemented a cost reduction plan that will, among other things, reduce our overall headcount by 12% in addition to 14% reduction announced in February. We are sizing the organization to deal with the near-term challenges efficiently, but we continue to make investments in research and development and globalization so that, over the long-term, we can maintain and expand our technology and market leadership. Jean will share more information on our cost structure and our financials later in the call. Now, let me quickly mention some key highlights for Q1 before discussing various market segments and outlook. In DRAM, DRAM revenues and bookings declined significantly during the quarter. Revenues accounting for 59% of total revenues in the first quarter and declined 57% sequentially to $38.9 million. The weakness in DRAM impacted all segments, including commodity DRAM, mobile RAM and specialty DRAM during the quarter. We did, however, make progress on the delivery and volume shipment of our Harmony platform to customers. We achieved our goal of shipping twice as many Harmony cards as we did last quarter and gained back some full wafer contactor market share with key accounts. Looking at the second quarter of 2008 thus far, DRAM market conditions continue to be difficult for our customers in spite prices staying weak. Given the current price of DRAM and customers' need to conserve cash, manufacturers are having difficulty investing sufficiently to yield as the next node 65, 68 nanometers. Customers focused on improving test efficiency at existing nodes rather than on new designs is increasing in order to extend the life of current products. This is causing them to delay the transition to the next node, leaving the user of 65-68 nanometers or sometimes keep it altogether. Therefore, we expect some customers to ramp mainly commodity DRAM at 65, 68 nanometers. Considerations such as graphics, mobile, DRAM at 65, 68 nanometers will likely be pushed to the next node at sub-60 nanometers, where profitability can be achieved. Where we originally expected the move to sub-70 nanometers on DDR3 to be strong growth driver in the second half of 2008, we now anticipate a delay in 2009. On the Flash, looking at our Flash business, revenue fell 19% this quarter as new revenue declined due to the slowness in assessing customer buying patterns. NAND performed well during the quarter as we continue to enjoy share gain with our NAND Harmony OneTouch product. Also, bookings fell slightly due to a slowdown in NAND customer production ramps. SOC Logic, SOC Logic business declined 11% in the quarter, also bookings increased 22%. Our flip-chip business continues to drive the majority of this segment. Also we anticipate additional growth through the year will come from our further penetration of the wire bond segment, which is now progressing well. KGD DRAM and overall market memory market declining 46% in the quarter as both the DRAM and Flash businesses were also impacted by the difficult market conditions. We expect design activity and volume to pick up when the market moves to sub-60 nanometers node. Now, I'll like to turn to outlook. As I stated earlier, we continue to experience rather extreme conditions in our markets due to customers' cash flow generation behavior and very low DRAM price levels. So the overall industry growth remains positive. Semiconductor CapEx is currently expected to decline from its 2007 level. The capacity investment pullbacks from DRAM manufacturer will hopefully be a step towards balancing market and supply requirements. However, with DRAM pricing continuing in its prolongated state below manufacturing customer costs, conditions do not appear likely to improve significantly this year. Therefore, we currently believe the 2008 DRAM probe market could be down 50% from 2007. Also, we do not believe these conditions can persist for a long period of time. We have not yet seen any signs to indicate a market recovery in the near-term. In light of this market and uncertainties, we do not have much visibility. The current market looks very difficult. Jean will give you more details, but we think that the overall market on FormFactor revenues will both be down in the second quarter compared to the first. We're still hopeful that the second half of the year will improve over the first. The precise timing of a recovery is speculative. On the competition, following the recent improvement in our Harmony execution, we regained some share in full wafer contactor market during the quarter. We believe that our industry-leading products are and will continue to be differentiated. As the advanced probe card business is fundamentally a design-based business, every new design presents an opportunity for us to demonstrate our technological differentiation and capture customer's next design in full wafer contactor. Even in these challenging times, we continue to invest in R&D in order to keep pace with our customers' roadmaps and be prepared to meet both the technological requirements and test efficiency demands when the market recovers. Having gone through an extended period of rapid growth and expansion over the last several years, our main focus has been on growing capacity and meeting customer mission-critical needs. During this downturn in our market, FormFactor will be focused on reengineering our execution structure to position us for the long-term, profitable growth. First, we are placing more decision-making on resources in territories next to our customers. Second, we're changing our manufacturing structure for shorter cycle time and customer responsiveness. And third, we started restructuring our R&D to make it product-specific based on the lessons we learned in the past years. We fully realize that our ongoing innovation and close customer relationships are the critical factors to our successes, and these guiding principles are reflected in the changes we adopted. As difficult as this period is for the Company, we are committed to build an industry-leading company. Coming out of this period, we anticipate FormFactor to be a very different company. I look forward to speaking with all of you on our progress on this initiative and returning the Company to growth and profitability in the future. The long-term fundamentals for the advanced probe market card remain healthy despite near-term cyclical issues in the marketplace. I'll like to take this opportunity to thank our employees for their commitment and hard work. This will ensure our long-term success. With that, let me now introduce and welcome our CFO, Jean Vernet, who has joined us most recently from Rio Tinto Alcan. Welcome, Jean.
Jean Vernet: Thank you, Mario, and hello everyone. Before I begin, let me remind you that I will be discussing our GAAP P&L results and some key non-GAAP results to supplement understanding of our financials. The schedule provides GAAP to non-GAAP reconciliation is available on the investor portion of our Web site. With that, let we start with a summary of our first-quarter results. Total revenues were $65.7 million, down 45.5% over the fourth quarter and down 35.8% versus the first quarter '07. Gross margins were pressured during the quarter. Our GAAP gross margin was 19.1%. There were two primary reasons for this. First, the decline in revenue combined with our fixed cost structure was the main impact. And second, inventory reserve increased due to a weaker demand and the lower usage. Non-GAAP gross margin was 21.2%. Looking at our operating expenses, if you take out the $5.3 million in restructuring costs during the quarter related to our February cost reduction, operating expenses were down slightly quarter-over-quarter. We continued to invest in R&D while SG&A saw a small decline. This resulted in a GAAP operating loss for the first quarter of $31.8 million or 48% of revenue. On a non-GAAP basis, operating loss for the first quarter was 31.7%. Interest and other income for the first quarter declined quarter-to-quarter to $5.7 million. The decrease was attributable to lower interest income on short-term investment. We expect interest income to decline slightly over the next few quarters due to a lower yield on investments. The effective tax rate for the first quarter was 31.3%. We'd expect the rates to remain at these levels for the second quarter. Net loss for the first quarter was $18 million and a loss of $0.37 per fully diluted share on a GAAP basis. There were $5.3 million of restructuring costs, or $0.08 per fully diluted share, net of tax included in the GAAP loss per share. Approximately $4.6 million of restructuring charge was related to the cost reduction announced in February, while $700,000 is related to impairment costs. Now, turning to the balance sheet and cash flow statement, cash and marketable securities totaled approximately $558 million in the first quarter, a decrease of $40 million from the fourth quarter. Cash from operation was negative $5.6 million. DSO rose 16 days in first quarter to 61, compared to 45 days in the fourth quarter. Net inventories, inventory turns were 7.4 in Q1, flat from Q4. With that, I will now provide guidance for the second quarter. As Mario outlined in his remarks, the market conditions, especially in DRAM, remain depressed. Consequently, we expect revenues for the second quarter to be in the range of $40 million to $55 million. We also expect to have a GAAP net loss in the second quarter. Excluding one-time restructuring costs that will be incurred in the quarter, the net loss is projected to be between $0.60 and $0.43 per share. One-time restructuring costs, which consist primarily of severance costs related to the workforce reduction, will be $3.5 million to $4.5 million, or $0.05 to $0.06 per share. The GAAP EPS includes about $0.09 of incremental stock compensation expense. On a non-GAAP basis, excluding stock compensation expense and one-time restructuring costs, we expect an operating loss of between 51% and 100%, and earnings per share to be between a loss of $0.34 to $0.50 a share. Headcount at the end of the first quarter was 1,053. The cost-reduction actions we announced will result in a workforce reduction of about 12% from the current level this will reduce our spending run rate by about $2.9 million per quarter. And with that, let us open the call for questions. Operator?
Operator: Thank you. (Operator Instructions). We'll take our first question from Jim Covello with Goldman Sachs.
Jim Covello - Goldman Sachs: Hi, guys. Thanks for taking the question. A couple of things, I'm sorry if you said this, but how much cash do you expect to burn in the second quarter?
Jean Vernet: Well, the cash run rate is going to depend on the level of revenue. At this time, we do not provide guidance on the cash run rate, but it should be probably in the same order of magnitude as in Q1.
Jim Covello - Goldman Sachs: Okay. And then more strategically, how much share are you losing as a result of the misexecution here, and how do you get confident that you're going to be able to recapture that share as the execution hopefully improves over the next couple of quarters?
Mario Ruscev: Okay. If you go back historically, as we went through some ramping issue, we did lost some share in Q4 2007 in full wafer contactors. We have regained some of this share during Q1 of the year. Now on the longer-term, the plan to continue to get market share is to continue to push for differentiation. And we believe that, with our ability to add more pin and put more test results and handsome electronic on it, we'd like to accelerate the transition from the fact that full wafer contactors market now is mostly focused on one or two touchdowns. So through the year, we plan to play an acceleration of this and this, together with our ability to compete on all markets now, will allow us to go back to our position.
Jim Covello - Goldman Sachs: Relative to the comment about regaining some of the market share in the first quarter, I mean if I look at some of your competitors, say MJC Probe or someone like that, I mean it certainly seems like they did much better in your markets than you did. Their revenue and profitability was nowhere near as severe as yours, so how are you measuring regaining share during the quarter?
Mario Ruscev: We have regained market share as we reentered the market. And if you look, we have sold quite a lot with quite many, we have shipped in Q1 two times as many full wafer contactor Harmony as we did in Q4. We have regained some market share with some key accounts. I will not comment on the competition.
Jim Covello - Goldman Sachs: I guess final question for me and then I will go away. Just relative to strategic decisions that the Company is going to have to make. I mean at what point does sort of cutting some headcount and trying to control the operating expenses not get you to where you want to be? I mean, there's a scenario where the DRAM environment stays depressed for an extended period, and you would need a lot of improvement in the market to get back to a reasonable level of profitability. At what point do you think you may need to take on a strategic partner in order to get the Company back to a good level of profitability?
Igor Khandros: What the Company is going to be focused on, as Mario mentioned in his remarks, is it's a three-legged plan and the management team is very active and reactive to act in the Company in terms of how geographically we are deployed and how decision-making is deployed, the manufacturing structure that should result, as Mario mentioned, and lower cycle times, and a lot better customer responsiveness. And we are structured in part in continuing how we do R&D to make it a lot more product-specific. The Company is going just be very, very focused on the fundamentals. Also, as Jean mentioned, we will work very hard to bring standing and in line with whatever the revenue outlook. So it just will be basically developing the new products, continuing gaining market share with existing products. And we believe we will be well-positioned when the market turns, Jim.
Jim Covello - Goldman Sachs: Thank you. Good luck.
Operator: We'll move to Timothy Arcuri with Citi.
Timothy Arcuri - Citi: Hi, a couple of things. First of all, can you tell us what the operating breakeven is at the end of March, and what the operating breakeven will be at the end of June?
Jean Vernet: Yes. So at current levels, we are significantly below our breakeven level. I would like to emphasize on the fact that our focus right now is to bridge the gap on a cash flow run rate basis. Look, the cash we have here is to finance growth and not to cover operating loss, so we are working very hard to align the costs and the cash run rates, so we achieve a sustainable model inline with the current market trough.
Timothy Arcuri - Citi: Okay. I guess can you give some specifics in terms of what the actual breakeven is right now, and what it will be at the end of June?
Jean Vernet: Well, no. At this point, this is not a number I am prepared to share, but what you need to know is, for us, it's critical that we put ourselves in a sustainable mode in this current market condition.
Timothy Arcuri - Citi: Okay. I guess let me ask it this way, then. Do you think, given the actions that have already been undertaken, that the current headcount reduction will get your breakeven to, say, $60 million to $65 million or less? Because I think that was a number that was talked about previously, so that's why I'm actually mentioning that number.
Jean Vernet: The market is dynamic, right? Again, our focus is, while we preserve the strategic legs that Mario and Igor described, we achieve sustainability, and the two operations that the two restructurings we have announced in the past are our steps in this direction. At the end of the day, we want to bridge the gap.
Timothy Arcuri - Citi: Okay. I guess a question then for Igor or for Mario. I know that at the end of last quarter, there were some very strange things happening in the DRAM market; there were some customers that had literally stopped testing devices in kind of an all-out effort to basically save money. Has the market returned? I mean, even, obviously the market is not good right now, but has even some semblance of normalcy returned to the market with respect to how much they are testing? Have they even begun testing? Tim said the same rate that they were before, or are we still in the same kind of abnormal situation that we were three or four months ago?
Mario Ruscev: I would say the biggest impact we see is the customer really is in a cash saving mode. So, instead of seeing what we expect as a proliferation of new design as they start ramping up 65 to 68 nanometers, we are seeing that they are delaying this ramp up. They use their engineering resources to optimize the older nodes of technology to get better results. Then they only bring to 65, 68 nanometers the nodes which are absolutely necessary. That I would say is the biggest impact that we see pretty large drop in new designs as we go on. I would say this is probably the biggest factor that we can see now in our market.
Timothy Arcuri - Citi: Okay, thanks.
Operator: And we'll move on to C.J. Muse with Lehman Brothers.
C.J. Muse - Lehman Brothers: Yeah. Good afternoon thank you for taking my question. I guess not to harp on the costs side, but you say it's critical to get to breakeven. And I guess aside from the two headcount reductions you talked about, what else are you doing to reduce costs?
Jean Vernet: So, there are a couple of dimensions. One of them is to focus on operating costs themselves and look at non-essential spending. Another one is to work more efficiently at what we do and use less resources to achieve the same level of energy. Then the third one is to prioritize our capital expenditure. So, we believe it's not just a cost cutting exercise; it's also a way to work smarter, right? And we believe that this is something we're starting to work now and we're going to keep working to really to bridge this gap as soon as we can.
C.J. Muse - Lehman Brothers: Can you put some numbers around what your targets are there?
Jean Vernet: Well, as I said earlier, we are not ready at this point to give you a number. The situation is quite dynamic. The only thing I would say is that we want to be sustainable in the trough environment that we are seeing now.
C.J. Muse - Lehman Brothers: Okay.
Jean Vernet: Excuse me. I would like to list that we are fully aware that we should not overreact either, right? So we keep that in mind. This is why I'm saying it's a dynamic situation. I mean, we really want to put ourselves in a sustainable mode in this current environment. Sorry.
C.J. Muse - Lehman Brothers: Okay. I guess my next question was assuming DRAM stays depressed here and hence the CapEx budget doesn't help there, what is your strategy to I guess try to retake share? Is it lowering costs to get some of the lower end business, or is it certain nodes and/or technologies like DDR3 where you think the advanced probe cards will be a requirement? And I guess could you elaborate on the timing where we would see that?
Mario Ruscev: If you look at the full wafer contact, which is advanced probe card, it is still at its beginning where people don't realize that even take DRAM, the full wafer contactor, most of them are still at 4%. So our main drive this year is a combination of high pin count, and to test the resource enhancements of electronics. We believe that these two together will enable us to bring these four touchdowns to one to two touchdowns depending on the tester. So this is the main push to really pull the market up to a more heightened environment and regain market share.
C.J. Muse - Lehman Brothers: And last question for me, and can you tell us what CapEx and G&A was for the quarter, and what you think it will be for June?
Jean Vernet: So the CapEx spend in Q1 was $11.3 million, $7 million of which was related to Q4-related accrued CapEx. The depreciation in Q1 was $7.5 million.
C.J. Muse - Lehman Brothers: And your outlook?
Jean Vernet: As far as Q2, this is not that type of number I would give guidance on at this point.
C.J. Muse - Lehman Brothers: I guess then what's your full year outlook for CapEx?
Jean Vernet: This is also not something which I can share with you at this point.
C.J. Muse - Lehman Brothers: All right, thanks.
Jean Vernet: Thanks.
Operator: And then we'll move next to Harlan Sur with Morgan Stanley.
Harlan Sur - Morgan Stanley: Hi, good afternoon. Sorry if I missed this, but one of the team expect to realize the quarterly OpEx reduction of $2.9 million from the incremental 12% headcount reduction?
Jean Vernet: So, the $2.9 million OpEx reduction is coming from the results of the first two actions we took in Q1 and the one we announced in early this month. So this run rate, we should be close to this run rate in Q2.
Harlan Sur - Morgan Stanley: Okay, great. Then maybe you might have answered this in the previous questions, but maybe a little bit more clarity, so on the share gains, what metrics are your customers looking at that is compelling them to move back to the FormFactor solution? Is it probe density? Is it reliability? Is it uptime? I mean, what are some of the metrics that are allowing you to take back some of this share?
Mario Ruscev: The metrics of our customer is always the same; its efficiency and how they use our products to gain more efficiency on testing. So the only metrics they use is efficiency of testing. If we allow them to gain efficiency, they would use us. So typically in a very simple way, if you go from four touchdown to two touchdowns and you keep your testing time right, you will be much more efficient and people will move to you.
Harlan Sur - Morgan Stanley: Okay. And I believe on the last earnings call, you had mentioned cycle times for Harmony reduced by 30% in the fourth quarter. Can you give us some progress that you made this quarter on cycle times? And then with current operations as you look out over the next few quarters, what is the maximum quarterly Harmony revenue run rate that can be supported with your manufacturing operations now?
Jean Vernet: Okay. On the cycle time, we announced that in Q4, we had reduced the cycle time by 30%, which we had. We announced that, in 2008, we'll reduced the cycle time by another 30%, and we are now well on the path of doing that. Now, we don't give a revenue product, usually, but we believe that we have an ability to ramp back at peak level in about a quarter if this would be necessary in the future. When this would be necessary, I'm sorry.
Harlan Sur - Morgan Stanley: One last question, can FormFactor receive an order and turn a Harmony probe card within one quarter now?
Mario Ruscev: Yes.
Harlan Sur - Morgan Stanley: Okay, thank you.
Operator: And we'll move on to Christopher Blansett with J. P. Morgan.
Christopher Blansett - J. P. Morgan: Hi, guys. I guess some of my questions about the Harmony line have been answered. I'm just kind of wondering how you expect your margin mix to vary throughout this year as Harmony becomes a bigger portion of your shipments. Will it improve it? Is it neutral?
Jean Vernet: Well, there is a part of the answer. The first part of answer is, in Q4 and Q1, most of our focus was to make sure that we can solve all the ramp issues and the other product can be shipped. When this is achieved, we will end up with a product which is not fully optimized on the cost, and now we're working pretty heartily on that to optimize the cost structure. The second one is, as Harmony comes, when you come second, the second supplier, you always feel a price pressure. But now, if you come on the product, which are more advanced and more demanding, the differentiation factor kick in, so this will leave the various formations that will affect us as we go on.
Christopher Blansett - J. P. Morgan: So basically it sounds like some of the final prices at some of your customers really haven't been nailed down yet. Is that a fair statement?
Jean Vernet: Again, like I say, it's difficult to say pricing because really each design has a different demand, different spending, and in fact you can say that the price gap is restarting for each new design.
Christopher Blansett - J. P. Morgan : Right, and then one thing that comes to mind is, the stocks are down quite a bit and you guys have a lot of cash. I mean what about doing a share buyback here sometime in the near-term?
Jean Vernet: Yes. So thanks for this question. I understand this, where you're coming from here. I am aware of the communication that Ron Foster, my predecessor, gave at the last call. And I would like to emphasize that my priority right now is to focus on stabilizing the financials of the Company. The cash we have currently on our balance sheet is not to fund operating losses. This cash is to fund growth opportunities. Now, at the same time, during this period, my role is to ensure that an adequate review and a careful selection of investment opportunities are achieved, together with the management team, and both organic and non-organic investments which will lead us to a situation of profitable growth. And that said, we are considering all options for the use of cash, including a stock buyback at this point.
Christopher Blansett - J. P. Morgan: Would it be fair to say that, once you feel you've stabilized the business and kind of reduced your breakeven levels, at that point in time you would probably look more towards maybe buying back some shares?
Jean Vernet: Well, as I say the priority and the focus right now is stabilizing the company and while doing that, really considering how the Company will look like after this difficult period, by doing a very disciplined and value-based review of our investment. With that said, the use of cash is something we are looking at and the buyback is part of this equation.
Christopher Blansett - J. P. Morgan: One quick one for me, the last one, all of the activity about moving manufacturing to Singapore, are we still on the same time schedule from the past quarter, or should we maybe think about that changing a bit given the weak market conditions that are occurring?
Igor Khandros: On the last calls, we said that due to the market conditions and the focus that we need from our team, Singapore has been put on a kind of on standby for now until sometime during the summer, and this is still true.
Christopher Blansett - J. P. Morgan: Okay, just checking. Thank you very much.
Operator: And moving on to Kevin Vassily with Pacific Crest Securities.
Kevin Vassily - Pacific Crest Securities: Yes, hi. Can you comment on kind of the delta between Q1 and Q2? I mean, it looked like the fall in Q1 from Q4 levels was primarily on the back of your DRAM customers. Are we seeing a similar pattern and if so, what was the last time your DRAM revenues were in the $20 million or so dollar range?
Jean Vernet: It was long time ago. Basically the factors in terms of market outlook, what we need to examine clearly is the cash preservation behavior of our customers. When DRAM price stay this slow, below manufacturing costs, basically what customers do is that they take no risks, they take no investments in ramping new nodes and they run the same design and they curtail the use of cash wherever they can. So, what we need to look for here, in terms of DRAM going up again, is customers going to 60-65 nanometer. And when customers go to 60-65 nanometer ramps, they will also ramp various architectures that will become really cost effective. At that node we would be looking DDR3, and the big opportunity at some point will be co-existence of DDR2 and DDR3 which always favors our business. So if you look historically, in 2001 there was a, there was a period when manufacturing, when DRAM manufacturing costs were above price. But right now what we're witnessing is really a prolonged period, and it's not sustainable. You have already seen moves in the industry in terms of alliances, in terms of some consolidation that clearly will take care of some of that. And as we go to the next design node, the next technology node ramp, as we go to DDR3, you will see a design proliferation that is the biggest driver for our business historically. So, this is a very unusual situation. So what we are witnessing is a very unusual situation in DRAM and some unusual situation also in NAND Flash business.
Kevin Vassily - Pacific Crest Securities: So, Igor, to that point, at least one of your major customers and I presume their process roadmap looks fairly similar to some of the other leading companies, I am talking about a 50-nanometer migration in the second half of the year, and they are talking about this as recently as four weeks ago. Has something changed in the last four weeks that you expect that those migrations, even if they are minimal in terms of tooling to start in the second half? Are those migrations being delayed as well?
Igor Khandros: I would say what you see right now, that the 70-nanometer is pretty much ramped.
Kevin Vassily - Pacific Crest Securities: Yes.
Igor Khandros: Maybe of all the major DRAM producers, maybe there is one that is a little bit behind in that, but basically those ramped. And then if you look at the half-node ramp of say, 68-nanometer, people adjust -- most companies are not willing to make the investment, because as you ramp, although you get more die per wafer, but you have some period of time where you have very low yields. And right now, it's just people just don't see doing that. So, then you have to wait until the next node. And most companies will start making some purchases in the second half, but now it looks like '09 event. And yes, if you look at all the companies, there may be one company that will be a little bit ahead, but the majority of the market is probably going to do it. Now it looks like it will be '09. And it probably will coincide with a very hard ramp of DDR3. Once that happens, then it becomes for them very advantageous to start doing mobile RAM, and PSRAM, and different graphic chips on that gen-next fine technology transition. If we didn't see this very prolonged period of manufacturing costs being above price, you would have seen half node ramp. This would have seen it much, much stronger, and we would have seen it starting now going to happen at this point. The next node is not 50 nanometers. The next node will be high phased. It will be around 60 nanometers, plus give or take where most of the ramps will be. And I'm sure people are experimenting with something else, but that's not what the main business will be.
Kevin Vassily - Pacific Crest Securities: So I mean if you want to go back and use 2001 as a kind of semi-proxy for this period, how long can the customers stand still, in terms of minimal design migrations, and wait for pricing to recover? I understand the need to preserve cash, but neither designs nor the value prop of those devices they make, gets any better as people sit around and wait, particularly as we might be facing slightly tougher macroeconomic conditions. Well, some of these guys bifurcate and take the lead and push a little harder because they are certainly not getting any pricing lift waiting around.
Igor Khandros: Yes, there are a lot of theories on what is going to happen and how quickly. We have zero control over that, right? I do not believe this is a sustainable situation; nobody believes. I do not think DRAM makers and flash makers believe that what's going on is a sustainable situation. So as soon as it gets back to a sustainable situation of manufacturing costs at significantly below price, or the low price, then it should all be different.
Kevin Vassily - Pacific Crest Securities: Okay, I do not want to monopolize the time, one last question, and kind of going back to the original question. So, is it fair to say that the bulk of the delta between Q2 guidance and Q1 levels still rests on the back of your DRAM customers?
Igor Khandros: Yes.
Kevin Vassily - Pacific Crest Securities: Yes. Okay. Thank you.
Operator: Next, we'll have Gary Hsueh with Oppenheimer & Company.
Gary Hsueh - Oppenheimer & Company: Hi, thanks for taking my question. I'm just wondering if you guys are at a little bit of denial here. Revenues are definitely imploding here. And if I kind of model the full year out, you're down 50%; you're down to $230 million. It looks like gross margin will be roughly around 25%. Last time you are at this revenue level, you hit 45%. We are clearly in a different leg of the market, but why aren't fixed costs cut on the table? Why isn't fixed asset consolidation on the table here?
Igor Khandros: Well, I think you know where we are. As Jean mentioned, this is a very dynamic situation, and we of course are looking at being able to respond to that. And there are customers who rely on FormFactor to run their fabs, and these customers plan to shrink their technology nodes and plan to ramp new products. So, we have to be there to respond to that. So of course, it is not really an option for us to go and try to structure the company that was at this revenue level sometime in the past because we are looking at an opportunity to grow the company. Having said all of that, as Jean mentioned I think several times, that there's a lot of hard work going on in how to balance spending and revenue outlook dynamically.
Gary Hsueh - Oppenheimer & Company: I'm just wondering, Igor, why you can't cut your fixed asset base here in Livermore and grow it back in Singapore at a 0% tax holiday over the next ten years, when you do need it.
Igor Khandros: Your question is you can cut it in many pieces. We are restructuring manufacturing, and there have been two actions on the population. There still a plan over the next few weeks to cut many other costs on it. We decided that we will keep the cost of R&D active. We believe it is a technology company and the future of this company relies on our ability to come up with new products all the time. And as the market becomes in fact more and more difficult, we have to increase the speed at which we introduce new technology. So, this is one of the costs that we did not cut. Then, of all of the other cuts are being looked at and adapted to our level. That's what we are saying. When we say that we want to come to a sustainable run rate and we want to bridge the gap that we are at now, this is what we mean.
Gary Hsueh - Oppenheimer Company: Okay, thank you. And a last housekeeping question, you talked about taking a greater inventory reserve in Q1. Can you quantify the inventory reserve or the step-up in inventory reserve that you did take in Q1? And the second question, do you expect to reserve at that same run rate in Q2?
Jean Vernet: Well, let me just qualify the fact that the inventory reserves were mostly driven by the sudden drop in revenue, right? So, now that's something, now the magnitude of that amount in the total gross margin deterioration is about just under a third of the total, right? But this is really driven by this sudden drop of revenue. So, your question, it's going to depend on the revenue dynamic going forward, right?
Gary Hsueh - Oppenheimer Company: Right.
Jean Vernet: So if the market bounces back, the inventory reserves will be lower.
Gary Hsueh - Oppenheimer Company: Okay, thank you.
Operator: We will move on to Raj Seth with Cohen & Company.
Raj Seth - Cohen & Company: Hi, thanks. This is a question for Igor. Igor, in one of the previous questions, somebody pointed out that it appears that some of the DRAM guys aren't doing much probe testing at all. And I'm curious if there's some kind of potential secular shift here. Given extreme cost pressure, you hear more and more about the FT techniques, BIST, etcetera. I thought one of the reasons, aside from stacking and some of the other applications that you do, probe testing is you don't want to package bad parts. Is there something changing here, or does that necessarily come back and people test again at probe? Or does something on a secular basis change, given this downturn?
Igor Khandros: People test. I do not think that would be the right impression, that people stop testing. Of course, when you have, our probe cards for very long time, right? So when you have an opportunity to stay at the same technology node with the same failure modes and as you learn more and more as you ramp your technology about yield of your products and what happens, you can actually optimize your test times. Of course, if you transition to new technologies, every new technology presents a new challenge and you are not in a position to do it. But as long as you, say, skip to half node, you have all this time to reduce the test time, for example. There are cases when people shift output, directly to your question, when people shift output to, say, white boxes or some applications where there is less, indeed there is less testing done, significantly less. But that is not the major factor. The major factor is that customers chose to skip the next node, they will stay with the existing node for a longer time, and they will figure out how to do less testing, right? That would be an impact.
Raj Seth - Cohen & Company: So you are suggesting that people have just become more efficient, given we are not moving to the new nodes, but not that people are in a meaningful way shifting the strategy for doing probe testing?
Igor Khandros: Right, it basically is the same trade-off as it would be when a company could stay at 130 nanometers and get to 99.9% yield. Instead what companies do is they ramp 100 to 90, 70, 50, 32, right? They are doing that, and they are not doing it when they reach in a previous node 99%; they do it when yield gets to some point and they get new technology, the point here being that if, however, you have a choice or it's not a choice, it's just a necessity for them in terms of cash preservation to stay much, much longer to a node, you can actually optimize efficiencies, right, of staying. You've learned a lot about your failure modes. You even need to learn new things so you can put engineering into reducing test times, which is not an option as soon as you start ramping the new technology, the new node.
Raj Seth - Cohen & Company: And anything happening discontinuous with BIST, which we keep hearing more and more about from some other memory players?
Igor Khandros: That is really not a big impact right now on our market. As a matter of fact, BIST in the future will enable more one-touch down full wafer contactors and we have products and we will have more products in the future. We will play in those markets. So right now, we don't see it as a factor.
Raj Seth - Cohen & Company: Okay, thank you.
Mike Magaro: Operator, we will take one more question.
Operator: And we got a question from Doug Reid with Thomas Weisel Partners.
Doug Reid - Thomas Weisel Partners: Thank you. A couple of questions, short, though. First, I am wondering if you could share the percent of DRAM revenue that was mobile-related.
Mario Ruscev: We usually do not cut our markets in such a high granularity.
Doug Reid - Thomas Weisel Partners: Okay. And the second question is on the linearity of orders in Q1, and whether or not that's changed at all going into late April here.
Mario Ruscev: What?
Igor Khandros: I think the main impact was that orders were lower, not necessarily that linearity was very unusual.
Doug Reid - Thomas Weisel Partners: Okay, thank you.
Igor Khandros: Thanks.
Jean Vernet: Well, we would now like to conclude the call. Thank you again for joining us today, and we look forward to speaking with you soon.
Operator: This does conclude our conference call and we do thank everyone for your participation.